Operator: Good morning and welcome to the Independent Bank Corp. Second Quarter 2015 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. This call may contain forward-looking statements with respect to the financial condition, results of operations and business of Independent Bank Corp. Actual results maybe different. Factors that may cause actual results to differ include those identified in our Annual Report on Form 10-K and our earnings press release. Independent Bank Corp. cautions you against unduly relying upon any forward-looking statements and disclaims any intent to update publicly any forward-looking statements, whether in response to new information, future events or otherwise. I would now like to turn the conference over to Mr. Christopher Oddleifson, President and CEO. Please go ahead, sir.
Christopher Oddleifson: Thank you, Chad. Good morning, everyone and thank you for joining us today. I am accompanied by Rob Cozzone, our Chief Financial Officer, who will walk you through our financial results following my comments. While we delivered strong financial performance in the second quarter, core earnings came in at $17.9 million, or $0.68 per share, well above both prior quarter and prior year results. As expected, our business volumes rebounded nicely in the second quarter following harsh winter conditions at the beginning of the year. The quarter was marked by positive fundamentals and virtually across the board fashion and prudent solid commercial loan growth, exceptional core deposit growth, increases in all major fee income categories, continued stellar credit quality and steadily rising capital levels. This all resulted in higher returns as an ROE just over 1% and an ROE approaching 10% on a core basis. Last quarter, we spoke about the heightened competitive environment, especially in the lending arena, which garnered a lot of attention from our investor audience. In addition, we really haven’t changed, but as our commercial loan growth this quarter indicates, we can still get our fair share of good deals and loan pipelines also remain in good shape. As you know, we built a highly successful commercial lending franchise that truly connects with customers, our in-depth knowledge of local markets and overall relationship orientation are the real glues here. Over the years, we have expanded the breadth and depth of this business in terms of experienced talent, product sophistication and lending capacity that allows us to retain our customers over their growth cycles. And as I have said on previous calls, we have had – we have the discipline and confidence whether to undertake a loan transaction or not based upon our risk return criteria and overall relationship perspective. Bottom line, we remain confident of our origination capability and we will continue to deploy capital intelligently. Our balance sheet continues to strengthen. Credit quality remains in terrific shape, with a minimal level of charge-off and lower non-performing assets in the second quarter. Borrowing levels of capital continue to comfortably support our long-term growth. Tangible book value per share has sustained its upward path and that is 11% above last year’s level. And of course, we remain well-positioned to benefit from the inevitable rise in rates that our industry eagerly awaits or I should say maybe some of us in our industry eagerly awaits, including us. The integration of Peoples Federal Bancshares in the Boston market has gone really well. We have a great track record similar to acquired banks, but many of us feel this one is our best ever. Customer response isn’t quite good. We retain the customer facing staff in the branches, which has really helped the transition process. And Jim Gavin, Peoples senior lender who joined our ranks and knows this market super well has really hit the ground running, capitalizing on our larger platform and product suite. We are already seeing synergies with our other expansion moves in Greater Boston, all along the home loan acquisition for us. Our franchise continues to grow in many ways. We are hard at work in adding new customers, while expanding existing relationships. This is readily evidenced by the strong increase in core deposits and fee-based income. Our high priority investment management business is consistently producing double-digit revenue growth as we capitalize on the opportunities presented by recent office expansions, acquired customer bases and strong internal referral sources. Assets under management now reached $2.6 billion. We also continue to invest in [indiscernible] our franchise to sustain long-term growth. This extends to areas such as training, talent improvement, product development and technology. We also continue to aggressively turn our brand across all media. And of course, we steadily beat that for compliance and strict cyber security-related programs. Economically, unemployment in the Boston market is hovering around 4%, a very strong number. The state’s gross domestic profit product at merchandise export levels and leading indicators are more favorable at national levels. And as I said before, the state’s high tech, biotech and educational sectors, which help inflate the state during recession continue to do well. The larger picture still contains a lot of variables, political, economic, regulatory, and so on, which we have very little control over and try not to get too distracted by. So, we continue to keep our heads down and do what we have been doing successfully for many years, pursue our disciplined path to growth. As we continue to grow our client base and score very high and third-party customer loyalty and employee satisfaction surveys, we know we are on the right track. On a final note, we are delighted that Frederick Taw has recently been appointed to our Board of Directors. Fred now is in the Boston area market, Asian communities within and around Boston area will be a terrific addition to the Board. That’s it for me. Now, I will hand it over to Rob.
Rob Cozzone: Thank you, Chris and good morning. I will now provide more detail on our second quarter results. Independent Bank Corp. reported net income of $17.5 million and GAAP diluted earnings per share of $0.67 in the second quarter of 2015. This compared to net income of $9.5 million and GAAP diluted earnings per share of $0.38 in the prior quarter. Both quarters included items that the company considers to be non-core, including $0.01 of net securities losses in the current quarter, primarily arising from the sale of trust preferred securities and $0.25 of M&A expense in the prior quarter. Excluding those and other minor non-core items, operated diluted earnings per share were $0.68 in the second quarter compared to $0.63 in the prior quarter. On an operating basis, the return on average assets was 1.03% and return on average equity was 9.65% for the second quarter. As Chris mentioned, business volumes rebounded nicely from the weather-related slowdown in the first quarter. Loan growth resumed. Deposit growth accelerated. And all fee income categories experienced an uptick in activity. Total loans increased to net 0.8% during the quarter, which tends to mask the solid 6% annualized growth in our commercial loan portfolio, with the C&I category being the most significant contributor. C&I growth benefited from strong activity within the asset-based lending division. Small business loans grew nicely as well, reflecting our concerted efforts to target this segment. The home equity portfolio also experienced healthy growth as our direct mail offers continue to resonate with existing customers and end-market prospects. Offsetting the growth in those categories which refinancing related payoffs in the residential book, especially the purchased residential book. Although we plan to continue to sell the majority of our residential mortgage production, the rate of decline in the residential portfolio should slow as rates firm up. All loan pipelines remain healthy at the end of the second quarter. And with an improved commercial loan pipeline of approximately $150 million at June 30, moderate organic growth should continue despite the intense competitive environment. Total deposits increased 5.3% during the quarter and core deposits were up 6.5%. Some of the outsized growth in core can be attributed to the company’s 10/31 exchange business, but the majority is driven by our more traditional customer base. As mentioned last quarter, with the launching of the spring advertising campaign, accelerated deposit growth was anticipated in the second quarter. Year-to-date, core deposits are up 8% organically, with zero cost DDA being the primary driver. As a result, the company’s cost of deposits is back down to 20 basis points for the quarter, inclusive of the recently acquired higher cost Peoples deposits. Tangible book value per share increased by $0.40 during the quarter and now stands at $20.22, more than $2 higher than a year ago. As expected, the net interest margin contracted by 7 basis points to 3.43% during the quarter. Recall that in the first quarter, our margin was enhanced due to accretion related to early payoffs of acquired loans. However, the second quarter margin was also impacted by lower core loan yields and higher short-term investment balances. The positive asset quality trend continued in the second quarter as very low gross charge-offs and strong recoveries again resulted in minimal net charge-offs. Loan loss provisioning of $700,000 was needed mainly to support loan growth. We also experienced a healthy drop in non-performing asset levels this quarter, partly due to the sale of non-accruing trust preferred securities. Non-interest income on an operating basis increased 18% versus the first quarter. Strong growth was experienced across all fee income categories. Deposit account fees and interchange and ATM fees benefited from seasonal increases in activity and effective cross selling of core checking accounts. Investment management income benefited from seasonal tax prep fees and continued growth in assets under management. Mortgage banking benefited from the spring buying season and meaningful increases to our complement of experienced residential loan originators and loan level derivative income and other income benefited from a general increase in activity amongst our commercial banking clients. In total, on an operating basis, fee income represented almost 27% of total revenue for the quarter. Non-interest expense on operating basis increased 5.6% for the quarter, reflecting a full quarter’s impact of the Peoples acquisition, a significant increase in advertising spend, as well as a handful of other increases. Of course, those increases were partially offset by lower snow removal costs. Non-operating components of both non-interest income and non-interest expense in the quarter include gains and losses, principally on the sale of trust preferred securities. The decision to sell the majority of our trust preferred securities was influenced by the increases in risk weightings to these instruments resulting from the implementation of Basel III. I will now shift to 2015 guidance. During our last conference call, we reaffirmed 2015 operating diluted earnings per share guidance of between $2.63 and $2.73. And now with the first half of 2015 behind us, we believe we will be at the upper end of that range. In addition, excluding the Peoples acquisition, with flattish year-to-date loan growth due to the impact of competitive factors and mortgage refinancing levels, we now expect second half loan growth to be 1% to 2%. Second, with minimal net charge-offs for two consecutive quarters, we expect full year results for net charge-offs and loan loss provision to be $1 million to $2 million and $2 million to $3 million, respectively. The rest of the full year guidance which I provided previously remains unchanged. That concludes my comments. Chris?
Christopher Oddleifson: Alright. Chad, we are ready for questions.
Operator: Certainly, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes today from Mark Fitzgibbon with Sandler O’Neill.
Mark Fitzgibbon: Hey guys, good morning. Rob, I wondered if you could share with us your thoughts on the net interest margin trends over the next couple of quarters assuming rates sort of stay in the current range. And I am curious if you begun to slowly increase the asset sensitivity of the balance sheet in anticipation of rates moving higher, either later this year or early next year?
Rob Cozzone: Well, to your second question, we have continuously been emphasizing asset sensitivity for the last several years and that has not changed. We tried to swap the majority of our commercial lending transactions and certainly any transactions that are beyond 5 years for a fixed rate period. We continue to grow our home equity line book, which is tied to prime. So our total loan portfolio that is tied to either LIBOR or prime is now at $2.3 billion that was at $2.2 billion last quarter. And then we have a meaningful portion of our loan portfolio that also was tied to a 1 year indices. So we continue to emphasize asset sensitivity. And as you can see by our results on the liability side, we emphasized what historically has not been non-rate sensitive deposits whether they are in this cycle or not, remains to be seen, but certainly has been an emphasis for us. In terms of where we expect the margin to go, my guidance there has not changed. From a core perspective, which I would exclude kind of fluctuations in our liquid balances at the Fed because that can impact the margin 2 basis points to 3 basis points in any given quarter, we do expect loan yields to continue to gradually compress. And that will bring down our margin to the tune of 2 basis points to 3 basis points or 1 basis point to 2 basis points per quarter.
Mark Fitzgibbon: Okay, great. And then secondly, I wonder if you can update us on the Peoples integration and recognition of the cost saves from that deal?
Christopher Oddleifson: The cost saves have been 100% recognized. And the technology conversion is completely done [indiscernible] Rockland Trust. And then on the Peoples side, I mean all of the folks are in place and trained up and we are beginning to then add some enhanced training on top of the basic training, so it’s going really well.
Mark Fitzgibbon: Okay. And then it looked like advertising costs were pretty high in the second quarter and I think they have been in years past, are we likely to see that come down a fair bit in 3Q?
Rob Cozzone: It should come down a little bit. But the third quarter is an active season for advertising for us. And so we won’t see it go back down significantly in the third quarter, but it will go up significantly heading into the fourth quarter. There are some other expense line items however that will decline going into the third quarter. And so we should see fairly meaningfully to the tune of $1 million or thereabouts, lower our expense in the third quarter relative to the second quarter.
Mark Fitzgibbon: Great. And then just lastly on the commercial pipeline, I think you said it was $150 million, which is down from sort of $175 million last quarter, is that because the competitive environment has just gotten so tough, your pipeline shrunk a little bit?
Rob Cozzone: Well, it’s due to lots of closings in the quarter. And we had a very strong closing quarter that isn’t exactly reflected in our growth numbers for the quarter because of some payoffs, both due to competitive refinancing as well as we continue to see customers liquidate properties because of valuations and liquidate businesses, again because of valuations. So we do expect loan growth to continue, Mark in the second half of the year as I said in my prepared comments to the tune of 1% to 2% for the rest of the year. And we feel good about the pipeline. And we are certainly seeing lots of activity. I wouldn’t read too much into the $25 million decline because it’s a point in time. Activity continues to be robust. But at the same time, the competitive environment is very challenging. And that has -- phenomenon has not relaxed at all.
Mark Fitzgibbon: Thank you.
Rob Cozzone: Thank you, Mark.
Operator: Our next question comes from Laurie Hunsicker with Compass Point.
Laurie Hunsicker: Yes. Hi, good morning gentlemen.
Rob Cozzone: Hi Laurie.
Laurie Hunsicker: A follow-up on net interest margin, what was the accretion income this quarter?
Rob Cozzone: About $600,000, Laurie.
Laurie Hunsicker: Okay. So basically the same as last quarter?
Rob Cozzone: Last quarter was actually higher. Prior to that, it had been in the $600,000 range for a few quarters prior to that.
Laurie Hunsicker: Okay. And how should we think about that for the duration of this year, is that...?
Rob Cozzone: Yes. We expect it to be stable. Obviously, it depends upon prepayment activity and those acquired portfolios. But we have no reason to believe that it will change significantly.
Laurie Hunsicker: Okay, great. And then with respect to your C&I growth, your strong C&I growth, was that all organic or was any of that purchased?
Rob Cozzone: Well, we consider it organic. It occurred within our asset-based lending division. And the asset-based lending division does tend to do more participations. So, we don’t call that a purchased loan, we are participating with a number of other parties in originating a new deal.
Laurie Hunsicker: And how big is your ABL portfolio now?
Rob Cozzone: Almost $150 million in balances and about $250 million in exposed.
Laurie Hunsicker: Okay. And it does not come with a deposit, is that correct?
Rob Cozzone: Typically, it doesn’t come with significant deposits, no.
Laurie Hunsicker: Okay, okay. And where would we expect to see that ABL portfolio go?
Rob Cozzone: Well, we had very good growth this quarter. We have a very strong team that has some great relationships. We had brought that team originally over from another institution. It was a lift out that we were successful doing. And they have been meeting our expectations for growth. I would say this quarter we saw some outsized growth. We don’t have a specific target for them really outside of kind of our total commercial portfolio growth, but we would expect the rate of growth in that portfolio just because of the newness to be faster in the double-digit pace range over time.
Laurie Hunsicker: Okay, great. And then last question here on commercial, your charge-offs, you had in every single category of commercial, you had recoveries this quarter, which is great. Can you talk a little bit about that? And I mean, was this just sort of a one-off showing up of things or what happened this quarter? And obviously, your credit trends look great, you are conservative, but that was unusual. Can you just…
Rob Cozzone: Yes, it was unusual this quarter, but it’s not atypical of this point in the cycle. We had losses earlier on in the cycle and you have collateral that appreciates. You have economy improving and that can tend to improve your position relative to when those charge-offs were taken. And so we would expect to continue to periodically have recoveries. This quarter may have been unique, because it’s a little bit more broad-based, but we had very high recoveries last quarter as well. And we expect recoveries to continue to trickle in. It’s tough thing to forecast, Laurie, as I am sure you can imagine, but it’s really not too atypical of being at this stage in the cycle.
Christopher Oddleifson: Laurie, when I joined the bank in 2003, that year and two years after that, we saw zero to negative net charge-offs in the commercial division, so harvesting the recoveries from the ‘90s.
Laurie Hunsicker: Okay, great. Thanks.
Rob Cozzone: Thanks, Laurie.
Operator: [Operator Instructions] Our next question comes from Collyn Gilbert with KBW.
Collyn Gilbert: Thanks. Good morning gentlemen.
Christopher Oddleifson: Good morning, Collyn.
Collyn Gilbert: I just want to clarify first, the comments that you guys made on credit. I think you said the back half of the year, it was going to be kind of a $1 million to $2 million range I am guessing on net charge-offs and then maybe $2 million to $3 million on provision?
Rob Cozzone: That’s right.
Collyn Gilbert: Is that – okay, was that for the full six months or was that on a quarterly basis?
Rob Cozzone: No, that was actually full year guidance. So, my loan growth guidance was second half guidance, which is 1% to 2%, but I – net charge-offs and provision guidance was full year guidance. So, we are $300,000 in net charge-offs year-to-date. We expect to be $1 million to $2 million for the full year. Provision is $200,000 year-to-date, $700,000 in the most recent quarter. And we expect to be $2 million to $3 million for the full year.
Collyn Gilbert: Okay. So that’s a huge drop I think from what you guys were thinking maybe after the fourth quarter?
Rob Cozzone: Yes.
Christopher Oddleifson: That’s very true.
Collyn Gilbert: Okay. Yes, so that is just a reflection of the environment, which is much better than what you had thought it would be, I guess?
Christopher Oddleifson: Well, both from a current perspective, but also loan growth is less than we thought to when we don’t need to provide for the loan growth.
Collyn Gilbert: Okay, okay. Alright, I just want to confirm that. And then one thing obviously Rob, you have talked about still seeing some NIM conversion, but yet the commercial loan yield was up this quarter. It seems to be holding in well there. What’s the dynamic that’s going on there? And is that sustainable or are we finally seeing an inflection on within that portfolio?
Rob Cozzone: Yes, I would expect it to continue over kind of a several quarter period to decline. We are – we have been able to maintain our new volume yields, but the stuff that is paying off tends to be stuff that was originated and it’s in a higher rate cycle. And so the stuff that’s paying off has a higher yield and still it’s coming on, even though we have been pretty good at maintaining the yield on new volume. And also the number of days in a quarter has an impact on the annualized yields because of all of the accrual works on some of those portfolios, whether at 33.60 versus actual 3.60.
Collyn Gilbert: Okay. And then also, can you just talk a little bit about what your outlook is for construction, I know that, that kind of have been a source of strength earlier in the year and just sort of where you see that portfolio going?
Rob Cozzone: Yes. We would expect growth to resume on the construction book. What happens with the construction book is some of that eventually converts to permanent. And the moves from construction into CRE and some of that took place this quarter. But we would expect growth in the construction book to resume.
Collyn Gilbert: Okay. And then just on the interchange fees, nice growth there, is that – is there and – we are seeing that kind of across the board which could just be a reflection of just a rebound after what was such a dismal first quarter, but how are you thinking about kind of consumer transaction activity throughout the remainder of the year?
Rob Cozzone: Well, this – these two quarters tend to see good activity from summer vacationers. So we expect a good start to the third quarter as well and it tends to tail off at the end of the third quarter and then you get the kind of Christmas buying season, you see a lot of activity as well. So we would expect it to at least be maintained relative to the second quarter. And we are also having a lot of success, more success than we have ever had in getting debit cards in the hands of our customers, our cross-sell campaigns and some of the branch incentives we have in place are – have been very successful.
Collyn Gilbert: Okay, that’s helpful. And then just one final question, on the competitive environment, is it a pricing issue that’s keeping you guys sort of more constrained on the growth or is it a structure issue or is it both. And I guess, the base book came out this week and just there was a comment about Boston, certain competitors or certain banks in the Boston area are really offering also, ultra, ultra low rates, so I just didn’t know if it was a pricing issue that you are seeing or structure or is it everything?
Christopher Oddleifson: I would sort of say that, I hear more about pricing on a daily basis. But I do also hear structure. So my balance [indiscernible] is price. So, I think if prices were a little more firmed up, as you see a lot more volume from us and are really satisfied with the credit terms. Is that fair to say, Rob?
Rob Cozzone: Yes, it’s definitely both, but more heavily weighted towards pricing.
Collyn Gilbert: Okay. That was all I had. Thanks guys.
Christopher Oddleifson: Thanks, Collyn.
Rob Cozzone: Thanks.
Operator: [Operator Instructions] The next question comes from Tom Alonso with Macquarie.
Tom Alonso: Good morning gentlemen.
Christopher Oddleifson: Good morning, Tom.
Tom Alonso: Just a quick – you guys called out the 10/31 exchange is driving some of the deposit growth this quarter, could you sort of size that for us, I guess, is it – the best way to look at it, sort of the increase in your interest earning deposits with other banks, is that probably a way to think about what came in for 1031 and could potentially flow back out?
Rob Cozzone: It’s actually much lower than that. It’s close to $100 million. So we had very strong growth in other core – more core categories and more longer term stable deposit categories as well. It was a very good quarter for deposit growth.
Tom Alonso: Okay, great. So about $100 million is the number for that, perfect. Okay. Thanks guys.
Rob Cozzone: Thanks Tom.
Operator: This concludes our question-and-answer session. I would like to turn the call back over to Christopher Oddleifson for any closing remarks.
Christopher Oddleifson: Thanks, Chad and thank you everybody for joining us and we look forward to giving you an update in three months. Have a good rest of the summer. Bye.
Rob Cozzone: Thank you.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.